Operator:
Patricia Murphy:
Mark Loughridge:
Patricia Murphy:
Operator:
Bill Shope – Goldman Sachs:
Mark Loughridge:
Operator:
Toni Sacconaghi - Sanford Bernstein:
Mark Loughridge:
Operator:
Ben Reitzes – Barclays:
Mark Loughridge:
Ben Reitzes – Barclays:
Operator:
Steven Milunovich – UBS Securities:
Mark Loughridge:
Operator:
David Grossman - Stifel Nicolaus:
Mark Loughridge:
Operator:
Rob Cihra - Evercore Partners:
Mark Loughridge:
Operator: The next question comes from Shaw Wu with Sterne, Agee. You may ask your question.
Shaw Wu – Sterne, Agee & Leach: Hi. When you look at the previous product cycle with Power7, you had approximately – basically lasted about 18 months. What do you see with Power7 Plus? Thanks.
Mark Loughridge: Well, I think we'll get a pretty strong product cycle out of it. As I had said earlier, the characteristic that I would focus on here is the couple of quarters it takes to get the volumes shipped, but we think we should have a very strong set of offerings with strength building as we go through the year. As I said, in the marketplace, it's performing quite well on a competitive basis.
Operator: The next question comes from Mark Moskowitz with JPMorgan. You may ask your question.
Mark Moskowitz – JPMorgan: Good afternoon. Mark, I had a question. As we think about 2013, you've done a great job in terms of optimizing the operating margin profile. How should we think about the various rates contribution for 2013 in terms of incremental contribution to margin in terms of A, is it going to really from a mix driven up to Software? Or B, is it going to be an increasing level of optimization of Software and less labor in Services? Or C, will it be more about just OpEx reductions in general?
Mark Loughridge: If you look at the overall performance basis, it's really those two very strong plays that we’re driving through the model, both with good results in 2012 and we think we'll present good results in 2013 as well. First of all being the ongoing mix in the higher value, higher margin spaces. Again, the best example of that would be the tremendous progress I think we've made on our Software business. Again, I gave earlier the statistic, but I think it's kind of remarkable that in 2000 we were doing $2.4 billion. Last year we did $11 billion. So that ongoing mix to Software we think should continue. And then supplementing that will be all the work that we have ongoing in that $8 billion of focus spend that we talked about in our globally integrated enterprise initiative. Now, one point I want to make clear in that $8 billion, we do work to drive about 40% of that to the bottom line, but the other 60% is firmly dedicated to remixing our spend profile and our resources. So there is higher growth, higher margin initiatives like Business Analytics, Smarter Planet, Cloud computing and if you look at the business mix within those, about 50% of the revenue mix within those initiatives is Software. So, much higher Software mix that we see in the base business. That too should help propel our mix into higher margin content.
Operator: The next question comes from Keith Bachman with Bank of Montreal. You may ask your question.
Keith Bachman – BMO Capital Markets: Thank you. Mark, you previously spoke to you thought Software would have mid-single digits as you look at calendar year '13. I want to see if you could specifically address then the services and the systems part of the business. I think to Tony's question you said you thought GBS would have positive revenue growth, but I didn't hear a GTS number. So if you could speak to both the services element if you think in constant currency dollars whether that will have positive revenue growth in any metrics and then the same question for the hardware system side please.
Mark Loughridge:
Operator:
Chris Whitmore - Deutsche Bank:
Mark Loughridge: